Operator: Hello, everyone, and welcome to the OUTFRONT Media First Quarter 2024 Earnings Call. My name is Harry and I'll be your conference operator today. [Operator Instructions] It's now my pleasure to hand you over to Stephan Bisson to begin. Please go ahead. 
Stephan Bisson: Good afternoon and thank you for joining our 2024 first quarter earnings call. With me on the call today are Jeremy Male, Chairman and Chief Executive Officer; and Matthew Siegel, Executive Vice President and Chief Financial Officer. After a discussion of our financial results, we'll open the lines for a question-and-answer session. Our comments today will refer to the earnings release and the slide presentation that you can find on the Investor Relations section of our website, outfront.com. After today's call has concluded, a replay will be available there as well. This conference call may include forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are listed in our earnings materials and in our SEC filings, including our 2023 Form 10-K and our March 31, 2024, Form 10-Q, which we expect to file tomorrow. We will refer to certain non-GAAP financial measures on the call. Any references to OIBDA made today will be on an adjusted basis. Reconciliations of OIBDA and any other non-GAAP financial measures are in the appendix of the slide presentation, the earnings release and on our website, which also includes presentations with prior period reconciliations. Let me now turn the call over to Jeremy. 
Jeremy Male: Thank you, Stephan, and thank you, everyone, for joining us this afternoon. We're pleased to share our first quarter results today, which came in broadly as we expected when we last spoke in February. As you can see on Slide 3, which summarizes our headline numbers, the year is off to a solid start with total consolidated revenue growth 3.2% during the quarter, reflecting steady growth in billboard, an impressive return to growth in transit. Adjusted OIBDA was up more than 10% year-over-year, driven by healthy improvements in both billboard and transit. Much of this improved OIBDA converted to AFFO, which more than doubled to $23 million in our seasonally smallest quarter. Slide 4 shows our segment results with total U.S. media revenue increasing 3.5% year-over-year. Other was down 2.6%, given much lower digital equipment sales during the quarter, which offset solid Canadian revenue growth of 5.7%. On Slide 5, you can see our U.S. media revenues in more detail. Billboard revenues were up 2.5%, but would have been higher if you take into account condemnation revenues from both periods that we highlighted on our last call in February. Local continues to perform exceptionally well with particularly strong performances, Atlanta, Dallas and signs of recovery in San Francisco. Further, our recently acquired assets in Portland have picked up a nice head of steam. Transit revenue was up 7.7% versus the prior year. The improved revenues in transit were led by the MTA and broad-based in nature, driven both by local and national, a wide array of ad categories spanning across all regions. The breakdown of our local and national revenues in our U.S. business can be seen on Slide 6. As in recent quarters, local was the primary driver of growth up 7.5% during the quarter, while national declined by 2.3%, primarily due weaker billboard trends in a couple of our larger markets. Given this, our local national split of 62% to 38% was more skewed towards local than the more typical 55%-45%. On a consolidated basis, our best-performing categories in the first quarter were legal services, retail service providers, government, political and entertainment. On the weaker side were auto, utilities, real estate, travel and health and medical. Slide 7 illustrates our solid U.S. billboard yield growth up 3.3% year-over-year reaching just under $2,600, a first quarter record. The largest drivers of this yield growth remain our digital conversions rate and higher automated transaction revenue. Slide 8 highlights our strong digital performance with revenue growing 8.3% in the quarter, representing 31% of our total revenues up from 30% last year. Digital billboard was up 5.6% while transit was up 16.7%, obviously fueled by the MTA. Automated revenues in the quarter represented 14% of our digital revenues in the quarter up from 8% in last year's comparable quarter. With that, let me now hand it over to Matt to review the rest of our financials. 
Matthew Siegel: Thanks, Jeremy, and good afternoon, everyone. For a deeper dive into our financial statements, please turn to Slide 9 for more detailed look at our expenses. Total expenses were up about $6 million and just under 2% year-over-year. Billboard lease expense was essentially flat in the quarter versus last year. Excluding the impact of a $5 million added period adjustment in the first quarter of last year, billboard lease expense was up in the low- to mid-single-digits. This growth was driven by annual escalators included in our fixed rent leases and properties added to our portfolio in 2023. Transit franchise expense was down slightly versus the prior year given the non-renewal of the loss-making contract and a small benefit from amendments to existing transit agreements, which combined more than offset the higher MAG payments to the MTA related to the annual CPI adjustments. Posting maintenance and other expenses was up 6% versus the prior year, primarily due to higher compensation-related expenses, utilities costs, maintenance expenses, which were impacted by some timing items and other costs related to higher business activity. SGA expense was flat during the quarter as increases related to higher compensation-related expenses were offset by lower expenses elsewhere in the business. Corporate expenses up just over $3 million due to higher professional fees and the unfavorable impact of market fluctuations on an unfunded equity index linked retirement plan. The higher professional fees are principally related to a management consulting project. Slide 10 provides additional detail on the sources of OIBDA. Total OIBDA was up approximately 10% to $66.5 million. U.S. billboard OIBDA was just over $97 million and U.S. billboard OIBDA margin was 30.9%, up 60 basis points year-over-year. For the full year, we continue to believe that billboard margins will be slightly up on an annual basis. Transit OIBDA as a $15.3 million loss compared to last year's loss of $20.5 million. The improvement was primarily due to the better revenues Jeremy described earlier in the call. Turning to capital expenditures on Slide 11. Q1 CapEx spend was $18.4 million, including just under $5 million of maintenance spend, both lower than last year. The reduced CapEx was primarily due to the timing of our expected spend this year and we continue to believe that we will spend approximately $75 million of total CapEx this year with about $70 million of that on our U.S. business. We added 35 digital billboards in the U.S. this quarter, increasing our U.S. total to just over 1,900. We continued to target 150 to 200 total digital billboard additions for the full year. On the transit side, we added over 2,500 digital displays in the U.S. in Q1, mostly small format screens on subway and train cars in the New York MTA. Looking forward, we are nearing the end of the deployment phase for New York and expect to substantially fulfill our initial build obligation this year, bringing us into the maintenance phase of the contract beginning in 2025. Now turning to AFFO on Slide 12, you can see the bridge to our Q1 AFFO of just over $23 million. The $14 million year-over-year increase was due to improvements in OIBDA, maintenance CapEx, cash taxes and other slightly offset a higher interest expense. For 2024, we continue to expect that reported consolidated AFFO growth will be in the high-single-digit range from 2023's AFFO of $271 million. As we noted in February, this guidance assumes a June 30 close on the sale of our Canadian business. Please turn to Slide 13 for an update on our balance sheet. [Indiscernible] liquidity is approximately $570 million, including around $40 million of cash, nearly $500 million available on our revolver and $30 million available via our accounts receivable securitization facility. As of March 31, our total net leverage was 5.4x, flat compared to December 31. We expect our leverage to move down meaningfully as the year progresses given the seasonality of our business and upon the close of the sale of our Canadian business. Turning to our dividend, we announced today that our Board of Directors approved the $0.30 cash dividend payable on June 28 to shareholders of record at the close of business on June 7. As a reminder, based on our current operational expectations and the taxable gain created with the sale of our Canadian business, we believe we will need to pay a larger dividend later in the year for weak compliance. We spent $6 million on tuck-in acquisitions during the quarter and looking at our current acquisition pipeline, we continue to expect our 2024 deal activity to look similar to that of 2023. In closing, 2024 is toted up as we expected and we remain enthusiastic about the remainder of the year to come. With that, let me turn the call back to Jeremy. 
Jeremy Male: Thanks, Matt. We were pleased with our first quarter performance, particularly with that of transit, which returned to solid growth after what proved to be a rather difficult 2023. Looking forward to the second quarter and based on our transit today, we estimate that Q revenue growth will be broadly in line with Q1's, both in terms of scale and also shape between billboard and transit. Before ending the call today, I'd quickly like to discuss our high-level transit strategy as there were a couple of events during the quarter that exemplify our current approach to this important business. First, Matt mentioned that transit franchise expense was down during the quarter due to the non-renewal of an unprofitable transit franchise as well as small benefit related to a transit contract amendment. While both of these were relatively small on a gross dollar basis, they illustrate our commitment to improving these business partnerships and growing them properly for both parties or exiting if such agreement cannot be struck. Another example of our transit strategy that I would like to highlight is our new long-term contract with WMATA in Washington, D.C., which was selected by the agency through an open RFP process and include terms which better reflect the current state of the transit advertising market. It has improved financial metrics relative to the prior long-term contract signed back in 2014 with a lower revenue share taken net of certain expenses, a floating minimum annual guarantee and no capital obligations. We believe this new contract provides the appropriate framework for what we are calling sustainable transit advertising partnerships. The additional flexibility provided by the structure of this type of contract allows its terms to adapt to advertising trends as they change. This enables us and our partners to minimize franchise financial risk while capitalizing on future revenue opportunities as transit continues to rebound. And with that, operator, let's now open the lines for questions. 
Operator: [Operator Instructions] Our first question today is from the line of Cameron McVeigh of Morgan Stanley. 
Cameron McVeigh: Just had a couple. Firstly what in your view is driving the divergence between local and national growth? Is this idiosyncratic to certain clients, or do you see this as more broad-based? 
Jeremy Male: Thanks very much for the question, Cameron. I think if you look back over time, it's fair to say that the local part of our business has always had a much slower -- lower beta than our national business. National tends to be far more lumpy based on just one or 2 advertisers in a particular quarter, either being there or not. We can see quite significant adjustments. You remember at the back end of last year, for example, when we had TV was difficult obviously with the access and rider strikes, et cetera, that one sector can have meaningful impacts on our business. Our local business is much more broadly spread across a much larger number of smaller advertisers and from that point of view, let's say, has that lower beta. And I think it's fair to say that -- and it's worth calling out actually the performance of our local teams, which has actually been really, really strong over the last 18 months. 
Cameron McVeigh: Great. And secondly what do you see as the largest growth driver for transit revenue going forward? Are ridership levels still as impactful? And how about M&E and tech recovery? Do you see that still feeling growth going forward? 
Jeremy Male: Yes, I think there's a couple of things. Look, at the end of the day, to some extent or other, we are selling eyeballs, but we're increasingly getting away from that. And we're getting away to the comparison back in 2019. I think it's almost we are still seeing some increase in passenger numbers and I believe we'll continue to see those increases as we move forward. But I think one of the big drivers for us has actually been the digitization that we've accomplished over the last 2 or 3 years. I don't know how many of you have spent much time in the subway or on Metro North or Long Island Railroad lately, but what you will see is some fabulous advertising displays there that we are now just at the point where we are connecting with those in an automated way. So the video panels that we have at subway administrations in New York and our live boards are now able to take programmatic feed and over the coming months, we're also going to open up our pipes so that they can take our own automated platform feeds, which is DDA. So we think that digitization plus automation will be a significant growth driver for us as we go forward. 
Operator: Next question today is from the line of Ian Zaffino of Oppenheimer. 
Ian Zaffino: A question also will be on the transit side. I know in the past you've expressed like concerns about there being a stigma around advertising on the subway. Is that kind of done now or have your advertisers now returning from that or is that still kind of an impediment? And then how do you square kind of the growth maybe with kind of that stigma? 
Jeremy Male: Yes, I think stigma's probably a strong word, but there are occasions when some of publicity, maybe particularly here in New York that might be a negative with regards to the subway or whatever probably not helpful, but on balance, I think we can sell our way through that. And don't forget, it's not all about subway. We have bus advertising, we have a lot of above ground product. We have shelters and we have some great national advertisers that are making fabulous use of those environments very, very effectively. So maybe at the margin a little unhelpful, but I think we can sell our way through it. I think the other point is that we're just generally just increasing focus on the transit business with advertisers. I think we've got some very smart marketing out there right now. We're very -- I'd say it's very good to see that there's back some nice growth which looks continuing into the second quarter and onwards from here. 
Ian Zaffino: Okay. And then I know you mentioned political as a big category. Is this just like standard election year advertising you're seeing? And maybe what should we expect kind of going forward throughout the year because we have the Presidential election, there's a bunch of referendums, does that impact in how you think about maybe this year versus like, what should say other Presidential elections? Because I know like OUTFRONT's not like the massive recipient of it, but I'm wondering if anything might change there or how we should be thinking about that going forward? 
Jeremy Male: Yes, maybe just answer that with a couple of numbers really. We have government and political, which is one category, so we don't sort of split those out. But in percentage terms in Q1, that was up 29%, just over a couple of million bucks, something like that. So if you sort of map that out and assume that political in particular will obviously increase a bit in the second quarter -- second and third quarters, it's going to be a nice tailwind. Back in 2020 we did around $10 million of political, we think in '24, it could be somewhere in the region of $15 million to $20 million. 
Operator: The next question today is from the line of David Karnovsky of JPMorgan. 
David Karnovsky: Maybe going back to transit for a second. Just given congestion pricing in New York City could start on June 30, wanted to see if you had any view on what that could mean for public ridership. Are there counter factors to consider as well, like less vehicle traffic on highways? And then separately, you mentioned some early strength in San Francisco. Wanted to see if you could expand on that. How much of that is potentially related to tech? 
Jeremy Male: So yes, I mean, just thinking about the congestion charge, I think people are still trying to map out exactly what it's going to mean. I think we can certainly say that there is likely going to be some increase in ridership on public transit. What's interesting when you look at other cities that have introduced a congestion charge, what you tended to find is that while it may have some impact on general traffic, that seems to come -- it goes down and then it starts coming back up. I mean, in my humble opinion, the congestion charge is just about, it's just a tax. So say that's I guess my view on that, so I think, look, I think potentially marginally beneficial to transit and frankly I suspect that it won't have that much impact particularly when you look at the areas we're talking about, which are also highly pedestrianized anyway. So I think we feel -- yes, we feel that that is likely to be neutral to mildly beneficial. Look, tech was up slightly in San Francisco going to your second question. I think as we look forward, there is far more positive stories coming out of San Francisco right now. And it was actually quite a bit of our growth that we achieved in San Francisco was from our local sales force who did a great job to fill into some of the national dollars that maybe still aren't there as we would like. 
Operator: [Operator Instructions] The next question today is from the line of James Goss of Barrington Research. 
Patrick Sholl: This is Pat on for Jim. I just had a question on the automated advertising that you guys talked on about earlier. I was just wondering if the increase in that was a function of advertisers putting a greater percentage of their spend through that channel, or an increase in the number of advertisers using that and just create more success and awareness of that opportunity for advertisers just or combination of the 2? 
Jeremy Male: So there's 2 pieces to our automated platform. One is programmatic and that is nicely up year-over-year. And that's driven by some advertisers who might have come to us through normal channels, but also there's undoubtedly advertisers that there's no way we would have reached them. Do you know what I mean, through our normal dedicated sales force. So that's really the answer on that piece. The second piece is on our own automated platform and there's 2 pieces there. One, we're going out and essentially selling rather than location-specific boards, in the case of billboards where they're selling baskets of eyeballs. Now people are very keen to buy eyeballs on a CPM basis. It's the way the rest of media trades and it's certainly generating enthusiasm for advertisers that would not have believed -- would not have used our channel we believe. I think the only final point to make on DDA is that essentially very efficient for us in terms of how we can allocate those revenues across our boards in terms of board utilization. So actually there are some buys that we would prefer to go through there. So they're not necessarily additive in terms of total ad dollars, but they are very efficient dollars. 
Operator: And with no further questions in the queue, I would like to turn the call back over to Jeremy Male for any closing remarks. 
Jeremy Male: Thanks, Harry. And thanks, everyone, for tuning in today. Thanks for your questions and we look forward to seeing you at various investor events over the coming weeks. Thank you again. 
Operator: This concludes today's conference call. Thank you all for joining. You may now disconnect your lines.